Operator: Hello, and welcome to the Hub Group Fourth Quarter 2023 Earnings Conference Call. Phil Yeager, Hub's President and CEO, Brian Alexander, Hub's Chief Operating Officer, and Kevin Beth, Hub's CFO are joining me on the call. [Operator Instructions] Any forward-looking statements made during the course of the call or contained in the release represent the company's best good faith judgment as to what may happen in the future. Statements that are forward-looking can be identified by the use of words such as believe, expect, anticipate and project and variations of these words. Please review the cautionary statements in the release. In addition, you should refer to the disclosures in the company's Form 10-K and other SEC filings regarding factors that could cause actual results to differ materially from those projected in these forward-looking statements. As a reminder, this conference is being recorded. It is now my pleasure to turn the call over to your host, Phil Yeager. You may now begin.
Phil Yeager: Good afternoon, and thank you for joining Hub Group's fourth quarter earnings call. Joining me today are Brian Alexander, Hub Group's Chief Operating Officer, and Kevin Beth, our Chief Financial Officer. I'm proud of the way our organization executed to support our customers and one another in 2023 while also delivering the second best financial performance in our company's history in a challenging year. We faced difficult market conditions with higher inventory levels, excess capacity and slowing import demand. This led to challenging fundamentals that are more transactional service life. However, our execution of our strategy over the last several years of delivering world class service, investing in equipment and technology to drive productivity, diversification of our service offerings to deepen our value to our customers, and maintaining cost discipline enabled us to successfully manage through those challenging conditions and deliver strong results. We completed several key strategic priorities this past year that will pay dividends for years to come. We improved our rail and taxi agreements, providing us with expanded reach and flexibility while enhancing our cost structure. We achieved a record level of share of our controlled drayage, enabling improved service and costs. We continued our diversification strategy, closing an accretive acquisition that helps us build scale and capabilities in the big and bulky final mile space. And finally, we completed our capital allocation plan, delivering a clear growth and returns-oriented investment strategy. These are just a few of the many strategic initiatives we executed on this past year which we delivered while prioritizing our team and customers, positioning us for long-term success. We are leveraging the momentum at the end of last year to deliver for our customers and shareholders again in 2024. We believe that the current global supply chain disruption and the normalization of inventory levels will lead to increased shipping demand and wet goods imports, which along with accelerated capacity exits will progressively lead to improved industry fundamentals. In ITS, we have a great deal of momentum in mid-season as we are providing significant savings versus stress while executing an excellent service track. We believe that with our improvements in service and productivity, as well as our enhanced partnership, we will be in a position to deliver strong volume growth this year. Our initial results have shown the quality of our value proposition and we will continue our focus on enhanced balanced velocity and productivity throughout this season. We've also driven incremental growth and dedicated onboarding new wins with existing customers based on our service, quality and scale. We believe these factors will lead to improved performance in our ITS segment as the year progresses. In logistics, we are in the process of integrating our recent Final Mile acquisition and are excited about the initial results. We are taking a best-of approach and finding significant cross-selling cost synergies that will allow us to accelerate growth in the business. In brokerage, after a strong year where we increased total volume count, we are seeing some signs of improvement in the market, which, along with our continued cross-selling, high-quality service and productivity enhancements will lead to improved performance. Finally, within managed transportation and consolidation, our value proposition of service, technology and savings is resonating with our customers, and we have a solid pipeline of new onboardings that will support growth in 2024. Despite a challenging industry backdrop, we executed on our strategy and are positioned for continued long-term success. We are focused on having a great year in 2024 through delivering best-in-class service, investing in the business through the long term, maintaining our cost discipline and deepening our value to our clients. This focus will position us as a provider of choice for our customers and will accelerate profitable growth as market conditions shift. With that, I will hand the call over to Brian to discuss our segment results.
Brian Alexander: Thank you, Phil. I will now discuss our reportable segments, starting with Intermodal and Transportation Solutions. ITS revenue declined 28% in the fourth quarter, driven by the softer intermodal volumes that declined 11.6%. Transcon volume was close to flat. Local East volume declined 8% and local West declined 17%. While year-over-year volume declined in the fourth quarter, we drove sequential transcon and local East volume growth. This momentum in shorter length of haul is a good early indicator of truckload volume converting back to intermodal. In addition, the sequential improvement is showing the early results of the enhancements that we have made to the local East and our disciplined focus on margin per load day that will continue to drive transcon growth. We continue to improve our cost structure in ITS that drove a 30 basis point improvement in sequential operating income, excluding acquisition-related fees. We continue to implement several cost controls that will accelerate in 2024 and better position us to compete while maintaining yield disciplines. From a cost perspective, our new rail agreements are moving with the market and improved rail service has helped us better manage our equipment costs. In the West, we're implementing a new hub control chassis program in the first quarter of 2024 that will improve our cost and service reliability. Our in-sourced trade held steady at 80% throughout Q4 compared to 69% in the previous year. And with improved driver productivity initiatives, we have the capability to further improve our cost per trade as we grow volume in 2024. We're seeing a slow start to the year and weather events have impacted January volume, but we are focused on returning to growth in intermodal this year, which will be driven by truckload conversions back to intermodal, inventory destocking and normalization, increased West Coast import and transload activity, our adjustment to our bid approach with a focus on regaining velocity and balance in our network and improved bid realization. We feel confident in our timing and disciplined approach for the 2024 bid season and are already seeing incremental wins that will ramp in late Q1 and early Q2. Our dedicated trucking team finished the year strong with a great growth story in yield expansion. We are entering 2024 well-positioned for further growth with a strong pipeline of organic and new customer opportunities. While the near-term ITS results are impacted by low volume, we are confident that our actions will position us for growth and deliver high levels of service for our customers with sustainable profitability. Now turning to our Logistics Segment. I wanted to start by welcoming our new Final Mile team to the Hub Group. The integration into our existing final mile operations is well underway. We are now positioned as one of the top final mile providers with a diverse offering that now includes appliance deliveries in a larger network of locations. These locations now bring our Hub network to 11 million square feet, strategically placed in 75 locations to service our customers' supply chain needs. We have a strong pipeline of cross-selling opportunities that are quickly materializing into wins that will launch in early Q2. Our brokerage team continues to be an industry standup as they thrive through a challenging freight year and grew volume while improving team member productivity. We have well-planned IT initiatives set to roll out in 2024 to further enhance our brokerage technology while we stay true to our Hub values of innovating with a purpose. 2024 is off to a good start for brokerage, and we are seeing early signs of smart pricing inflation that will support volumes and yield expansion. With the long tail of Hub customers to cross-sell, we are excited for our brokerage team to continue profitable growth in 2024. While we continue our logistics growth, we're also improving our costs as we leverage our close to $1 billion in LTL under management. This leverage improves our LTL buying power and creates density to support consolidations, which helped drive a 16% increase in our fourth quarter LTL volume. We are also continuing to enable our multipurpose logistics locations to support our continued growth of our LTL, final mile, e-commerce and warehouse solutions while also supporting inbound and outbound multimodal hub volume to service our customers' supply chain needs. With that, I'll hand it over to Kevin to discuss our financial performance.
Kevin Beth: Thank you, Brian. Before I start with the results, just a quick reminder that the EPS amounts presented are after the 2-for-1 stock split. Despite a continuing challenging freight market, Hub generated revenue of $4.2 million for the year and $1 billion for the quarter. Our GAAP operating income margin for the full year was 5.1% and 3% for the quarter. During the quarter, we incurred $5.1 million or $0.08 a share of acquisition-related expenses. Without the acquisition-related expenses, the quarter operating margin was 3.5%. The acquisition costs were allocated to both segments based on revenue along with our standard corporate expenses. Without the acquisition-related expenses, ITS margin was 2.6% and the Logistics Segment was 4.4%. Our diluted earnings per share presented post-split for the quarter was $0.46 and $2.62 for the year. Adjusting for the acquisition-related expense, EPS was $0.54 for the quarter and $2.68 for the year. In the fourth quarter, surface transportation and warehousing costs decreased compared to prior year due to lower volumes and cost management efforts. Salaries and benefits decreased from prior year as our nondriver headcount decreased by 15%, and we had less incentive compensation expense. Depreciation and amortization expense increased as compared to prior year due to growth-oriented investments in equipment and technology as well as acquisitions. Insurance and claims costs decreased by $7.5 million due to improved claims experiences. G&A costs increased by over $2 million due to the previously mentioned $5.1 million in acquisition-related expenses. Gain on sale was minimal this quarter, whereas the prior year benefited from strong used truck pricing. Turning our focus to our balance sheet and capital allocation. Fourth quarter capital expenditures totaled $35 million with a full year amount of $140 million. We purchased $21 million of tractors during the quarter, $7 million of containers, with the remaining $7 million related to technology projects and warehouse equipment. For 2024, we expect capital expenditures to be between $55 million and $75 million as we have no additional container purchases planned and lower tractor replacements. We are expecting our typical technology capital spend to be in the $20 million range. We anticipate 2025 CapEx to be in a similar range as of 2024. During the quarter, we continued generating strong operating cash flow while deploying $262 million of cash for the strategic acquisitions within our Final Mile business and an additional $26 million on stock buyback at a weighted average price of $76 per share. For the full year, we purchased $143 million of stock at a weighted average price of $77 a share. At the end of the year, we had cash on hand of approximately $187 million. Our net debt is $156 million, which is 0.4x EBITDA. We are below our stated net debt-to-EBITDA range of 0.75 to 1.25x and expect EBITDA less cash expenditures in 2024 to be greater than the $257 million generated in 2023. This shows Hub's cash resiliency as we expect cash earnings growth in a challenging trade environment. Additionally, we are confident in our ability to execute on our capital allocation plan, which includes paying our first dividend later this quarter, repurchasing more stock and continuing to be active in M&A. After Hub's second highest annual EPS, we turn our attention to 2024. Our EPS guidance is $2 to $2.50 a share with revenue guidance of $4.6 billion to $5 billion. A few things to note as we come out of 2023 and into 2024. The middle of the range assumes ITS volume growth of low double digits as OTR conversions occur based on continued strong rail curve. Pricing in the first half of the year is a zoom down but then rebounding to low single-digit increases in the second half of the year as truckload capacity exits and the repricing of lower third quarter contractual rates occur. There is upside potential in our guidance if retail inventory decline, leading to restocking demand and more typical shipping patterns, including the traditional intermodal peak season and surcharge revenue during the peak season. Another market condition that would push results to the high end of guidance is intermodal volume growth driven by OTR conversions based on continued and sustained service level improvements. In our Logistics Segment, we are assuming growth due to the addition of the appliance Final Mile business, low to mid-double-digit growth in managed transportation driven by new customer wins and increased demand, as well as mid-single-digit growth for our consolidation and fulfillment and brokerage businesses. Additional guidance upside would result from the tightening of the truckload market with capacity exiting resulting in an increase in intermodal and truckload rates. For the 2024 guidance, we are assuming a normalized annual tax rate of 24% versus the lower 2023 tax rate of 20%. In 2023, Hub had very minimal incentive compensation expense. The 2024 guidance includes a more normalized incentive compensation expense. Another assumed headwind in the guidance is gain on sale. We assumed minimal gains in 2024. Our current average age of our tractor fleet is 2.6 years, which is within the lower range of our optimal replacement cycle. As such, we will be replacing less tractors than previous years. Additionally, we are not seeing improvement in the used tractor market. Thus, we expect minimal gains as we replace older tractors. With these assumptions, we expect challenges that we have experienced the last few quarters continuing during the first half of 2024. In the second half of the year, with normal seasonality, we anticipate sequential quarterly earnings growth. We expect earnings in Q1 to be a step down from Q4 2023 due to normal seasonality and continued pressure on intermodal and truckload pricing and the return to a normalized tax rate. I do want to mention that normalizing our tax rate, incentive compensation expense and the gain on sale of equipment would add back approximately $0.49 to our midrange of the 2024 guidance, resulting in flat but slightly growing EPS in 2024. The change in the tax rate will have the largest impact from Q4 to Q1 as we had the low 3.3 tax rate in Q4 2023 and expect the tax rate in Q1 to return to approximately 24%. We expect the incentive compensation effect to grow during the year as our earnings grow. Finally, looking at our cash flow. Hub's cash EPS was $0.30 and $0.34 higher than our GAAP EPS in 2022 and 2023 respectively. We expect this spread to continue to grow in 2024. As generating cash is an important goal of management, we will be noting our cash EPS results going forward. This change is not the basis for guidance but to highlight Hub's cash earnings power. With that, I'll turn it over to the operator to open the line to any questions.
Operator: [Operator Instructions] Our first question comes from the line of Scott Group of Wolfe Research. Please go ahead.
Scott Group: Hi thanks. Afternoon guys. So, I just want to get a little more color on sort of the near-term earnings expectations, I mean just think about like the cadence throughout the year. So you're saying a step down from Q4, should we adjust for the tax rate and get to something in the 40s and then take it, then apply normal seasonality or not? Any color on just how to think about Q1, I guess, and then the sequential build from there.
Kevin Beth: Sure. Thanks, Scott, for the question. Yes, definitely, you have a couple of headwinds that we'll run into here quickly in the first quarter. One is definitely the tax rate going from the 3.3 to a normalized 24%. Additionally, we're going to have less interest income after spending the $262 million regarding the acquisition. So those are certainly the two biggest things, I think, in the first quarter that really aren't management control. In addition to that, we will have some offsetting. We're expecting to start to see margins return and get to at least the pre-adjusted or the post-adjusted numbers, excuse me. And then, as the year grows, we'll be seeing those price increases as well as volume increases that will sequentially increase EPS during the year.
Phil Yeager: Yes, as I said, Scott, I think obviously there's a bit of a tailwind here from the acquisition we just completed in December from a revenue basis. We're anticipating some sequential improvement in intermodal volumes. We saw that show up in January despite some weather issues. But to Kevin's point, operating margin percentage being relatively consistent with Q4 on the adjusted basis and then the tax headwind, are really kind of the big things to call on.
Scott Group: Okay. And then, so just so you're saying take the adjusted intermodal ITS margin of 2.6 and you think hold that fairly steady from Q4 to Q1?
Phil Yeager: Yes, yes, right.
Scott Group: Okay. And as you think about your rail contracts and what you're expecting for price, is an aggregate for the year, is intermodal price cost a tailwind or a headwind?
Phil Yeager: Yes, this is Phil. I would say it's a tailwind. Our new structure has certainly helped us through this more challenging environment, with the structure that moves up and down, obviously with some of the challenges we've seen in the market. It does have a bit of a lagging effect and I think that's important to call out. So as we see more stabilized pricing in the broader market, as well as an inflection positive, you'll see more flow through for Hub. I think Brian mentioned some really good things we're doing on the other side of the cost in implementing our new chassis program in the West. I think in Q4 we saw drayage costs down 25% on a cost per drayage basis. So we're doing a really nice job there and then we're very focused on layering in growth that will help really drive down our cost structure as well.
Scott Group: And maybe just last question. So you guys used to give us quarterly OpEx guidance. I guess it's a bigger business now, but you want to take a shot at trying to help us think about quarterly OpEx going forward?
Kevin Beth: I don't, we're not prepared to do that using the individual segments, but I would say again, we would be looking at increases, first quarter, like I said, similar to the after adjusted amounts and then going back up to more standard with a little bit of growth into the second half of the year.
Phil Yeager: Yes, and I think headcount will stay relatively similar. We're going to have obviously merit-based increases, some increase in incentive compensation in Q1 and then, gain on sale will be a little bit of a headwind Q4 to Q1 as well.
Scott Group: All right, thank you guys.
Operator: Thank you. Our next question comes from the line of Jon Chappell of Evercore. Your question please, Jon.
Jon Chappell: Thank you. Phil, on the big year guidance ranges, the revenue number is substantially higher than street expectations. So a fair amount of upside there, but the EPS is actually lower. So, I'm just curious on the margin cadence, for this year. Is this strictly just the pricing weakness at intermodal in the first half of the year, before things start to ramp, or is there more of a structural lower margin, for the entire enterprise as you're diversifying your businesses, especially with growth in the logistics markets?
Phil Yeager: Sure. So I think what we've shown over this past year, is the logistics margins are going to be relatively more stable. We think that there is upside within that as we see the brokerage market normalize, but we didn't really want to place a bet, on exactly when that's going to occur. With an IPS, I think, we've also stated that it's going to have some lower lows, but also some higher highs and a little bit more fluctuation. We're currently in the lower end of that. I believe that that's going to sequentially improve throughout the year. So, I don't believe that we're at a structurally lower operating margin going forward, but we're certainly navigating through some more challenging market conditions, and wanted to be conservative in our approach. One item that we didn't include in the guidance, is any share of purchases. Obviously, we have a $250 million authorization, which could be upside and will be opportunistic within that around capital deployment.
Jon Chappell: Okay. That's helpful. And then probably for Brian, I think it was last quarter, maybe two quarters ago, but probably last quarter, you said you'd maybe held the line on price a little bit longer at the expense of volume. And I feel like you've shifted there. You had some positive things to say about incremental wins in bid season. Is it that same policy you're sticking with now and maybe, for the first six months of the year to try to get more volume on the network, to help with efficiency, et cetera, at the expense of price? And would you kind of maybe expect a better balance of volume and price? Is that just purely market-related?
Brian Alexander: Sure. Yes, no, I appreciate that, Jon. We are getting the early wins in the bid season, and what we're seeing is that we're positioned well now to defend our incumbency, to capture more share, and get the over-the-road conversions that we needed to do. As I mentioned in the previous calls, we needed to make some adjustments structurally to target balance and velocity. And I think seeing the bid realization and some of those inventory normalizations has helped us plan that demand and that forecast. But we saw Transcon, I mentioned that in the prepared remarks, sequential growth there, and when we look at January over December, we saw a 10% sequential growth in Transcon, and that's really us focusing on margin per load day and seeing some of that spot inflation start, to drive more of those over-the-road conversions. And it's the same thing in the local east. We saw a sequential improvement there in the local east in January. We saw that consistent and getting more momentum at about 10% over December, and that's a lot of capture from over-the-road conversions. So, we think that we timed it well. We had about 43% of our bids going live in Q1, and we positioned in Q4 to time it right, and then another 18% of those go live in Q2. And so that's going to drive a lot more of that volume and velocity that helps us cover the fixed expenses, but also staying disciplined on margin.
Jon Chappell: Great. That's very helpful. Thank you, Brian. Thanks, Phil.
Operator: Thank you. Our next question comes from the line of Jason Seidl of Cowen and Company. Please go ahead, Jason.
Jason Seidl: Thank you, operator. Good morning, gentlemen. A couple quick questions here from me. You mentioned that there's going to be some cost controls that accelerate, as we move through the year. Can you give us some more details and maybe tell us where you expect that, to show up in the P&L? And also on the container side, you said you're going to basically pause, any more container purchases. Can you talk to us about, where the fleet's at and what percent of the fleet, is actually in use right now versus a big part?
Phil Yeager: Yes. This is Phil. So from a container perspective, we have around 20% that's currently stacked. We're in the process of actually unstacking, as we've seen some momentum here. Brian mentioned some of the positive signs we've seen December to January, and that's actually pre some significant startups that, we have over the next couple of weeks. So there's some unstacking. We think that'll come down sequentially throughout the quarter. But given the amount that, we have stacked as well as the improvement, and utilization that we can drive, we don't see any need, to add any additional containers at this point. It's obviously going to drive some pretty significant free cash flow generation for the year. On the cost side, and I'll let Brian and Kevin jump in here. We've done a really nice job on managing our overhead expenses, our headcount down 15% on a year-over-year basis. And we'll be thoughtful around hiring and returning to growth there, but want to make sure that we're remaining diligent as we've done a very nice job in resetting our cost structure for the current environment. I think we've also done a really nice job as well around reducing cost drayage and improving our purchasing. I mentioned that was down 25% year-over-year in the fourth quarter. We'll see that trend continue not only as we insource more and get more productivity out of our drivers, but we're also going to continue to be very diligent around third-party drainage costs. And then Brian also mentioned our new chassis agreement in the West. That's going to be very helpful from a margin perspective. And we'll start to see that really show up in the second quarter. It'll be kind of radically rolled out throughout the first quarter and start to show up there. And the last piece I would just highlight is rail costs. We'll likely see some benefits sequentially as we head through Q1 as well as into Q2.
Brian Alexander: Yes, I'll just add to a piece on specific to brokerage. We've seen the volume grow with there. It's a really industry standout with what they've done. We're really proud of that. But they've also improved their productivity, and their team productivity. We've got a good roadmap of IT initiatives that are set to roll out throughout the year that'll, further enhance that productivity within our brokerage and help control that cost.
Jason Seidl: That's good color. If I can go back, Phil, to the 20% that you said you have stacked and you said that number should come down with 43% of your bids going live in Q1 and 18% in Q2. What number should we expect to see by the end of 2Q here on that 20%? Should it be down to like 15%, or is it going to go below that?
Phil Yeager: That's a little unclear to me. I don't know exactly at this point. I would say 15% is probably a good measure. But I think our goal is to get improved utilization at the same time, right. We're really focusing on balance and trying to win the right business that fits our network. And so a little tough for me to say exactly. We might have some temporary imbalances where we increase repositioning costs, or we make a decision to stack or to unstack, because we think the volume is going to be there longer term. Those are things we're weighing on a more tactical perspective. But - it's a little difficult to say, but I would say likely you're talking about 15%, or maybe a little bit under that.
Jason Seidl: Sounds good. Appreciate the time. Thank you.
Operator: Thank you. Our next question comes from the line of Bruce Chan of Stifel. Please go ahead, Bruce.
Bruce Chan: Thanks, operator. And good afternoon, everyone. Maybe just to follow-up here on the revenue growth side. I'm not sure if I missed some of it. It sounds like you're off to a pretty healthy start for the year on the volume side. How should I think about the cadence of low growth versus pricing growth and intermodal as we move through the year? The idea that we're higher on the volume side, and maybe that subsides a little bit in the back half of the year and pricing accelerates there. So maybe just some commentary on how revenue growth proceeds through the year.
Phil Yeager: Yes. Kevin mentioned, I think when you look at ITS, volume is likely going to be down again year-over-year in Q1, be up in Q2, and then accelerate as we have both new wins coming on, but also lower comparables in Q3 and Q4. I think around that as well, we would certainly hope that in that 31% that's coming out to bid in Q3. And we're getting positive price, which would be incremental. And then certainly we hope if there's any normal seasonality in Q3 and Q4, you'd see some sort of surcharge revenue that's coming in there, as well that would certainly be upside to our revenue projections. I think the other piece that is built in there is onboarding within our Logistics segment that, we have good visibility to as well as the Final Mile acquisition is adding some significant revenue as well. So, those components together really are leading to the revenue guide. Kevin or Brian, anything you'd add?
Kevin Beth: Yes, I agree with Phil. I think one thing to point out, Bruce, is we definitely have some high comparables. We're looking at this year sort of as an exact slip of last year, where we started off with really high revenue amounts in ITS. And this year, we're going to build back up to those as opposed to starting with it. And as the bids come about later in the year, we'll start to see that price increase year-over-year as those bids that went in the second half were priced at a lower amount to begin with.
Bruce Chan: Okay. That's really helpful. And maybe just as a quick follow-up here, any comments around what you're seeing in terms of competitiveness in the marketplace? And I know you've got some boxes to unstack. Some of your peers have some boxes to unstack. So maybe just what assumptions are built in from a pricing competitive standpoint into your assumptions, for pricing this year?
Phil Yeager: Sure. I'd say it's a competitive market, but we're very focused on our network needs and really driving that velocity and productivity and converting business from over the road. That's actually what we're probably seeing in the majority of our wins within the shorter length of haul, which might be a negative mixed impact to our revenue per load, as the year progresses. But I think at the same time, it's a positive for velocity and balance. So, while it's competitive, we're not going to unstack containers unless we're getting a return on that. And we still have a long way to go to get our fleet to running optimally and at the utilization levels that they should be. So there's capacity available even on the street today, but we also want to make sure we have ample capacity to support new onboarding, make sure that those are seamless and that we're serving our customers appropriately as well.
Bruce Chan: That's great. Thanks for the time.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Brian Ossenbeck of JPMorgan. Please go ahead, Brian.
Brian Ossenbeck: All right. Thanks. Good evening, guys. Appreciate you taking the question. Just wanted to go back and make sure I understood the cadence again. Like, were you seeing contract renewals now to your point? You were holding the line a little bit too hard on price. Or is pricing down at this point? It sounds like maybe you're hoping for that to recover and turn positive on market recovery, and maybe comps at the same time. So maybe you can just start there and kind of walk me through that again?
Phil Yeager: Sure. And focusing on our incumbency, we are seeing slightly down renewals, I would say. And then what we're really trying to do is ensure that we're getting growth that is consistent with our network needs that help drive that balance, help reduce costs, and really spread our fixed costs a little bit more effectively.
Kevin Beth: And when you look at the latter part of the year, you know, Brian, that's where we mentioned that we held price a little too long. And it's those contracts that are going to come due here in the second half and we'll be able to price better, and have winning more volume at that time.
Brian Ossenbeck: So then I guess I'm just having a hard time with you've got price that's held too long in the back half of last year coming up this year. Wouldn't it flip the other way and you'd lose - some more on price and get more in volume? Obviously, a lot can happen between now and then, but just wanted to make sure I understood what you were assuming, in the outlook focused on the midpoint?
Phil Yeager: Yes, maybe I can try to take it again. It's slightly down price in the current bid process, which is at 41% and 18% that are here in the first half, right? So that's what we assumed on those renewals. And then we assumed slightly up on the Q3, Q4. And as we bring that on, we would hope we would be hopeful that we are growing volumes during all of those bids. And that is what we are seeing currently right now. If you talk about the 41% that is currently in bid, we are seeing we're locking in our incumbency at that slightly down level, but then we're adding incremental volume, which as has a significant flow through for us. And that's been the approach thus far. Obviously, we want the market to assist us. We want to see us, there is some stabilization in the spot market. We haven't seen that necessarily translate into contract rates yet. But we're certainly hopeful we see the market really solidify, start to move upwards. And as you know, price is a large flow through for us and will certainly be as the market enables us, to be going after rate as well.
Kevin Beth: Yes, I think one thing we didn't mention, this is Kevin, is on the upside of the guidance, is the potential for some surcharges and assessorial coming back. That was really muted. In fact, there was no surcharge revenue that we experienced in 2023. So if we can get back to a standard environment, we think we'd be able to get some surcharge revenue in the second half of the year as well.
Phil Yeager: And I would just highlight, I think we based that on discussions with a lot of our customers who are having some concerns around the East Coast labor challenges that may be existing as we enter what is typically retail peak shipping season. And so, I do think you'll see a little bit more diversification back to West Coast ports.
Brian Ossenbeck: Okay. I appreciate all that. And just to maybe follow-up on the current market conditions, it sounds like things are actually pretty strong, relatively speaking, from December into January. I think Brian mentioned there's some signs of spot market, some spot market strength and clearly not, as strong as you'd like, as you just mentioned, Phil. But what do you see now that sort of gives you confidence in looking out for that back half recovery? Is it too early, to say we've turned the corner? And then maybe specifically, since you talk about truckload conversion, just on rail service, are shippers really willing to commit meaningful volume to that? Or is it just kind of wait and see?
Brian Alexander: Yes, sure. Sure, Brian. I'll start with the quality of the bids that we're getting. And Phil mentioned some of the dialogues we're having with our shippers. They have a much better view with the normalized inventories of what their demands are going to be in each of the lanes and some of that seasonality that comes with it. That helps us align with what to execute to, what the price to, how to balance our network. And so the quality of the bids are coming out really well. And so, we mentioned some of the early wins in the bid season that have already started to materialize here. We've seen early signs of that in January. I mentioned some of the sequential growth that we've seen, not just in intermodal, but also when we look at our brokerage. Sequential January over December was up 9% and up 4% year-over-year. And we think those are good indicators. And within that brokerage piece and over the road that, we did see some spot price inflation. We'd like to see some more of that continue through the quarter. And we think it will as we start to see some of that spring restocking, and as we go through March and into April. So, I think that's a big part of it. As far as the rail services, Brian go, we - throughout 2023. We saw continuous quarter-over-quarter service improvements from - both of our rail partners. And they're at a very good, good place. They're continuing that improvement that's compounding over the fourth quarter into this year. I'd say in addition to the consistency that, we've seen in their rail service. We're also seeing them be more nimble and quicker to respond to disruptions, whether it be weather and they recover very quick. So shippers are noticing that as well and becoming more competent and in those conversions.
Phil Yeager: Yes, I think we're using the most recent winter weather disruption as a rebound in service. That was very quick as a proof point for a lot of our customers. And I think a lot of many of our customers are thinking about how they want to lock in capacity right now as well, and that there likely will be an inflection, at some point this year. I don't think anybody's calling a change in the market. And that's not really built into our guidance. But we're certainly hopeful that we're seeing the positive trends that will lead to that.
Brian Ossenbeck: Okay. I appreciate all that. Thanks for the time.
Operator: Thank you. Our next question comes from the line of Bascome Majors of Susquehanna. Please go ahead, Bascome.
Bascome Majors: It sounds like the intermodal outlook for the second half, you're expecting slightly positive pricing, slightly favorable calls for a nice price call spread. I'm curious if the pricing comes in more neutral, with cost for a kind of breakeven spread there. Do you still think the low end of your guidance, could hold if that's what the second half gives us? Thank you.
Kevin Beth: Yes, absolutely. I don't think - we did not build this guidance with a large market improvement in mind. As I mentioned, there's some upside factors as well in there around share repurchases. And certainly, if we don't see the market stabilized, we have levers we can pull to continue to improve our overall cost structure. So absolutely.
Phil Yeager: Yes, I think the cost both, the dynamic rail contract that we have will help allow for that, Bascome, as well as our insourcing of the drayage and the new chassis agreement all should help be able to allow for hitting that low end of the guidance.
Bascome Majors: In your prepared remarks, you talked about in recent years cash EPS being, call it, $0.35 higher than reported EPS. And clearly that goes up with the acquisition this year. Do you have a preliminary purchase price allocation sense of what that GAAP will be in 2024?
Kevin Beth: Yes, we think preliminary, low teens is probably the additional amortization. Certainly that that's not done yet, and probably won't be done until the end of the quarter. But yes, that's our preliminary.
Bascome Majors: I'm sorry, low teens. Do you mean like $0.10 to $0.15 or 10% percent of $0.35?
Kevin Beth: Yes, sorry. No, actually I was speaking - in actual dollars. So, yes about $12 million, $15 million of amortization, additional amortization expense from the acquisition. That's what you're looking for.
Bascome Majors: I'm sorry. Thank you for the time.
Operator: Thank you. Our next question comes from the line of Brady Lierz of Stephens. Your questions, please, Brady.
Brady Lierz: Okay. Great. Thanks. This is Brady on for Justin. I wanted to ask if you could share what your guidance is assuming for margins in logistics. And maybe if you could just share any color on the cadence of margins in that segment in 1Q and then kind of as we move through the year?
Phil Yeager: Sure, Brady. I think actually similar to what we've been talking about with ITS. It's going to start off a little lower than we would certainly like it just due to lower transactional volume. The spot market and the brokerage pricing right now is a tough headwind to battle. But we're expecting that to increase as our contractual rates on the truck market improve. And also as the Final Mile integration that happens, we have a lot of upside there as well to help with the DOI of the logistics segment.
Kevin Beth: Yes. So I would think about it as adjusted operating margin percent from Q4 is probably relatively flattish to Q1, and then we would anticipate sequentially improving.
Brady Lierz: Okay. Great. Thanks very helpful. And then maybe you could just talk about the growth that you're assuming on an organic basis in logistics. And maybe any updated thoughts on kind of what you view as a normalized margin for the segment, including the recent acquisition?
Brian Alexander: Sure. Yes, this is Brian. I'll talk a little bit about that. I think what we've seen, obviously, is in our logistics segment is our brokerage standing out and continuing to grow volume. We expect that volume to grow into the double digits, low double digits as we go into this year. Like I said, we've already seen that in January starting to materialize. I think also within our brokerage, what we're seeing is their ability to cross-sell across all of Hub Group, and they're adding new logos and then those logos are cross-selling throughout logistics. Within our Final Mile, we've added those appliance capabilities, but we've also seen that cross-sell pipeline open very quickly with materializing wins ready to onboard in Q2. So that will be another good piece of that revenue stream. And then as we think about our network, which I've mentioned is 11 million square feet, that helps enable our cross-selling and our growth with strong pipelines for that network as well as our managed trans. I've also indicated too, as we've done this, we do see a higher retention rate of our customers. We see them being less price sensitive and a higher rate of return with those solutions that we deliver across our logistics offerings.
Phil Yeager: Yes. Obviously, the highest growth rate would be in the Final Mile just given the incremental revenues there. I would say following that would be managed trans because we have some locked-in wins that are starting up actually in February. So we're excited about that. Brokerage, we didn't assume a massive amount of growth just given we don't know exactly how the market is going to look. And then with the consolidation, we said things would be a little bit more muted, but maybe just some organic growth in overall volume and velocity. So not anything massive, but actually up year-over-year.
Brady Lierz: Okay. Great, thanks guys. I'll leave it there.
Phil Yeager: Thank you. Thanks Brady.
Operator: Thank you. Our next question comes from the line of Thomas Wadewitz of UBS. Your questions, please, Thomas.
Thomas Wadewitz: Yes. Good afternoon. Wanted to ask a little bit about what's behind the optimism on volume growth in intermodal and just think about where is this -- shippers are really kind of interested in the conversion and the better backdrop on rail service gives you that momentum? Is it the share gain or the improved volume performance? Is that really at the expensive truck? Or are you thinking about maybe competing better against some of the other intermodal players? Just some more perspective about the improvement in intermodal volume as we look at '24.
Phil Yeager: Yes. This is Phil. We are very focused on, once again, finding the right business that's going to fit our network. But yes, we are very focused on returning to growth. As we mentioned, we don't think Q1 is going to be a positive year-over-year volume growth, but that will improve on growth rates as we go through the year. One is low comparables in the back half. So that's certainly an aspect of it. But at the same time, it's discussions with our clients around incremental wins that we're actually receiving and then their forecast for the year as well. And with the service levels we're providing, we're winning a lot of awards and positioning ourselves to really take advantage of the market upswing here. And so it's a mix of comparables, confirmed wins and then discussions with our customers around, how they see their supply chains adapting throughout the year.
Thomas Wadewitz: Do you think it's more share gain from truck or competing better versus some of the other intermodal players?
Phil Yeager: We're targeting track. I think we're winning a lot of short-haul business right now. Sometimes it's more challenging to tell exactly where it comes from. But I think our main target is truck.
Thomas Wadewitz: Right, right. Okay. That makes sense. One more. You've built a nice portfolio of services you can offer. You talked a little bit about cross-selling. What do you think is the kind of the best hook with the customer when you go in something they really want and is helpful for cross-selling and perhaps an area that you might want to build out additional capability.
Phil Yeager: Yes. So we're able to really open the door with any customer based on our intermodal capabilities and our service reputation. I think that's certainly our way in. Once we're there, it's about finding the right solution for what their supply chain requires, it could be anything from something as simple as transactional brokerage to a consolidation program to a full outsource or just managing their LTL. We find that our managed transportation capabilities, we can come in with - especially given the inflation that has been taking place in the LTL market with what we can do with consolidation and managing their LTL spend as a very sticky and strong service offering. But when we combine that with our warehousing capabilities, it becomes even stickier, as Brian mentioned. So it really does depend on the customer and their specific supply chain. But when I think about where we're at now, I think we have the right set of capabilities. It's about building specialization and scale within them and finding the right cultural fit that will help us continue to drive that growth. So I think you'll see us continue to be active in non-asset logistics M&A, but also be very thoughtful around our approach in adding to those core capabilities that we've developed.
Thomas Wadewitz: Okay. Great, thanks for the time.
Operator: Thank you. Our next question comes from the line of Ravi Shanker of Morgan Stanley. Please go ahead, Ravi.
Christyne McGarvey: Hi. Thanks. This is Christyne McGarvey on for Ravi Shanker. Just wanted to take a step back a little bit. You guys issued some long-term targets a couple of years ago now, and it seems we're quickly approaching 2025. So maybe you can talk about kind of confidence and path to some of those long-term targets? And if I can, maybe thoughts as we approach them, how you guys are thinking about kind of the next benchmarks that you guys are looking to benchmark against?
Phil Yeager: Yes. So, we're not ready to publish any new targets. Certainly we're very focused on the 2025 targets we've set. We have some work to do on the revenue side, but I think our guidance shows that where we think we'll be is relatively consistent and we'll have the opportunity to achieve that target. We operated this year and the prior year within and above the range on operating margin. I think our guidance is also within the range, obviously. And we think that with a positive inflection in the market, we'll be well within that. So certainly, our focus is on achieving both of them, and we think both are doable.
Christyne McGarvey: Great. If I could squeeze in one more. You've been talking about it a bit on the call, but maybe to ask it a slightly different way. In your customer conversations thus far in bid season, the over-the-road conversion, it seems at least collectively as a market it's sometimes been harder to prove out than maybe hoped for. It sounds like there's some inflection here in those conversations. You alluded to kind of rail service confidence coming back. But is there anything else in terms of customer priorities or what they're telling you that makes the over-the-road conversion a little more attractive here?
Phil Yeager: Yes. Yes. I think our customers are looking for service. They're looking for consistency. They're obviously looking for cost savings and they're looking to ensure that they have available capacity when the market does inflect. And I think Intermodal is a great solution for all of that. And as Brian mentioned earlier, when inventory stabilize, there's more of an opportunity to extend those transits, which also opens up more intermodal opportunities. So all of that leads to some of that shorter length of haul, which we're seeing right now start to flip over.
Christyne McGarvey: Great. Thanks all. I appreciate it.
Phil Yeager: Thank you.
Operator: Thank you. Our next question comes from the line of David Zazula of Barclays. Your questions, please, David.
David Zazula: Hi. Good evening and thanks for taking my question. I guess real quick are you able to share the realized yield you were able to get in intermodal for the quarter?
Phil Yeager: Yes, it was down 21%. A couple of things to reference there was we had a fuel headwind as well as overlapping accessorial and over $5 million of surcharge revenue from last year. So I think along with that, I've mentioned earlier, you're going to continue to see a little bit of a mix impact as we bring on more, shorter length of haul business. And that obviously impacted us in the fourth quarter as well.
David Zazula: Very helpful. I don't want to pick too much at the scab that Brian had gone after, but just a little bit of understanding for us. On the way down, our perception was you held the line on price maybe a little too long, and it cost you on the volume side. Have you changed at all how you're thinking about pricing or anything you're looking at for pricing or algorithms or thing that will help you maybe be more - prevent you from being not aggressive enough, I guess, on the upside and not taking advantage of a rapidly moving pricing market?
Phil Yeager: Yes. Yes, we have. Absolutely. We've changed our entire pricing organization and philosophy to be able to adjust to that. We have a new Chief Marketing Officer who is doing an excellent job and making sure that we are winning in the market and able to price to win, and that's what we've been doing thus far. So yes, we've made some significant changes within the organization and to our approach and feel as though it's working.
Brian Alexander: And just to add to that as well on price too. It's also targeting what we go after to make sure that we're building the balance across our network as well as the velocity in the areas where we need it. And that aligns with the cost takeouts that we've also been able to do within our intermodal operations.
Phil Yeager: And last point I'd just add, this is Phil. I think right now it's the time frame where we launch that volume last year, right? So we are in the process of capturing that, which is why we laid out in the guide that we were going to be down in Q1, but then start to see year-over-year growth.
David Zazula: Super helpful. And then on the brokerage side, can you get your thoughts on spot versus contract, how you're trying to set yourself up to be able to take advantage of a potentially positively inflecting market there and how you plan on handling customer relationships?
Brian Alexander: Sure. Yes, this is Brian. I'll touch on that. When we finished out the year, we were 53% of our brokerage volume being contracted, 47% on the spot side. And I think what we've been able to do is take a lot of that volume that's coming in and that we're buying low on the spot and move that into contracted so that we're able to secure that pricing as pressure starts to come in through the later parts of this year. So that we maintain that lower cost of purchase transportation and then we translate that back into the price that we give to our customers, which then creates more of that volume. So, we're structured really well with a good balance and a good strategy for that.
David Zazula: And then if I could just, a last cleanup. Could I get a non-driver employee count?
Kevin Beth: Yes. Non-driver without new Final Mile is 1,900 versus '22 at the end of last year. That's a 15% decrease.
David Zazula: Thanks so much.
Operator: Thank you. Our next question comes from the line of Allison Poliniak of Wells Fargo. Your question, please Allison.
Allison Poliniak: Hi. Good evening. Could you maybe talk to on ITS margins as you're looking towards growth in the second half? Any impact in terms of - or if you can quantify how unstacking the boxes would impact that margin in the second half? Is there a cost there and just any holding costs there near term to be mindful of?
Phil Yeager: No. Yes. Allison, I think a very good question. But when we're unstacking, we're very much looking at it from a returns perspective. So we want to make sure that the business we're bringing on is going to be helpful to margin. So it shouldn't be a large impact in one quarter or another anything likely worth calling out. Where we might give you a little bit more is repositioning costs are increasing. I think that would be a larger driver than stacking costs.
Kevin Beth: Yes. Allison, I think one of the things we do pretty well is we stack close to the markets that we anticipate are going to have the deficit. So that allows us to react quickly. And there's been a lot of cost to get those boxes revenue-producing as quickly as possible.
Allison Poliniak: Got it. And then just in terms of M&A, maybe a little color on kind of where your pipeline stands and you just hit the forward error in the process of that, just management capacity to handle future M&A, just given your ability to do that on the financial side? Thanks.
Phil Yeager: Yes. No. Still, yes, we do have a strong pipeline. We're very focused on kind of those core non-asset logistics areas adding scale and specialization that, bring higher margin profile. And yes, we're continuing to look for opportunities. We want to be thoughtful. Obviously priority one is being successful in getting back to growth in intermodal as well as a successful integration of the Final Mile acquisition. So those are the top two, but then certainly out looking for more. And as you mentioned, we have a significant capacity to do so.
Allison Poliniak: Great. Thank you.
Phil Yeager: Thank you.
Operator: Thank you. I would now like to turn the conference back to Phil Yager for closing remarks. Sir?
Phil Yeager: Great. Well, thank you for joining our call this evening. As always, if you have any questions, Kevin, Brian and I are available. And we hope you have a great evening. Thank you again.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.